Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2018 American Public Education Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] And as a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Mr. Chris Symanoskie, Vice President, Investor Relations. Sir, you may begin.
Chris Symanoskie: Good evening and welcome to American Public Education's discussion of financial and operating results for the second quarter of 2018. Presentation materials for today's conference call are available via the Webcast section of our website and are included as an exhibit to our current report on Form 8-K, furnished with the SEC earlier today. Please note that statements made in this conference call and in the accompanying presentation materials regarding American Public Education or its subsidiaries that are not historical facts may be forward-looking statements based upon current expectations, assumptions, estimates and projections about American Public Education and the industry. These forward-looking statements are subject to risks and uncertainties that could cause actual future events or results to differ materially from such statements. Forward-looking statements can be identified by words such as, anticipate, believe, seek, could, estimate, expect, intend, may, should, will, and would. These forward-looking statements include, without limitation, statements regarding expected growth, expected registrations and enrollments, expected revenues, expected earnings, and plans with respect to recent, current and future initiatives, investments and partnerships. Actual results could differ materially from those expressed or implied by these forward-looking statements as a result of various factors, including the risk factors described in the Risk Factors section and elsewhere in the Company's most recent Annual Report on Form 10-K and subsequent Quarterly Reports on Form 10-Q filed with the SEC and the Company's other SEC filings. The Company undertakes no obligation to update publicly any forward-looking statements for any reason, unless required by law, even if new information becomes available or other events occur in the future. This evening, it's my pleasure to introduce Dr. Wallace Boston, our President and CEO, and Rick Sunderland, our Executive Vice President and Chief Financial Officer. Now, I'll turn the call over to Dr. Boston.
Wallace Boston: Thanks Chris. Good evening everyone. I will begin our call today by discussing our recent operating performance starting with Page 2 of our slide deck. Our CFO, Rick Sunderland will then report on our second quarter financial results and outlook for the third quarter of 2018. In the second quarter of 2018, net course registrations by new students using Federal Student Aid or FSA at APUS declined 13.4%, compared to the prior year period. However, net course registrations by new students excluding those utilizing FSA increased 3.5%, compared to the prior year period. This increase was driven by a 9.5% year-over-year increase in net course registrations by new students utilizing cash and other sources, a 6.1% year-over-year increase in net course registrations by new students utilizing Veteran’s benefits, and a 0.6% year-over-year increase in net course registrations by new students utilizing military tuition assistance or TA. Overall, net course registrations by new students at APUS declined by approximately 1% in the second quarter of 2018, while total net course registrations and net course registrations by returning students were both approximately flat year-over-year. Although future volatility in net course registrations can be expected, I am particularly pleased by our progress in stabilizing enrollment at APUS. We believe this goal was achieved in part by the continued improvement in student persistence and recent increases in conversion rates that resulted from reengineering student onboarding processes and expanding student service hours. Furthermore, we believe the initiatives that we have launched over the last several years aimed at improving student success and the overall quality of our offerings also contributed to our success. For the three months ended June 30, 2018, or the spring term of 2018, total enrollment at Hondros College of Nursing or HCN increased approximately 17% year-over-year and new student enrollment increased 5%, compared to the prior year. HCN recently announced plans to launch a medical laboratory technician program at its Cincinnati campus in late 2018. As of June 11 of 2018, HCN earned National Accreditation by the Accrediting Bureau for Health Education Schools or ABHES and continues to be nationally accredited by the Accrediting Council of Independent Colleges and Schools or ACICS. We remain excited about HCN’s long-term prospects, as well as the opportunity for nursing and healthcare education more broadly and we are pleased by the progress the team at HCN is making to further strengthen the institution for a bright future. The Air Force recently experienced delays in processing military tuition assistance as a result of an enrollment portal of it that began on July 14 and ended on August 2. Thus, we anticipate the net course registrations at APUS will be lower in the third quarter of 2018, compared to the prior year period as a result of recent softness in registrations by students utilizing TA, as well as a result of increased competition for quality civilian students. In light of both increased competition and our belief that APUS is now attracting better quality students with improved persistence and conversion rates, we plan to increase our advertising spend, compared to the second quarter as we enter into the all-important fall season, a peak decision period for prospective students. Turning to legal matters for a moment, last year, the company received from the Attorney General of the Commonwealth of Massachusetts, a Civil Investigative Demand or CID relating to an investigation of alleged unfair or deceptive acts or practices by AMU. On August 6, 2018, APUS chose to enter into an Assurance of Discontinuance agreement or AOD to resolve the inquiry. Pursuant to the terms of the AOD and without any finding or admission of wrong doing on APUS’s part, we agreed to make a payment of $270,000 to the Attorney General and to otherwise comply with applicable Massachusetts regulations. We are pleased that this matter has been resolved. Moving on to Page 3. Over the last several years, we have remained steadfast in our commitment to affordability while working to stabilize enrollment and prepare our institution for the future. Although our work is not done and it’s worth noting that our efforts have yielded positive results. For example, despite growing competition, our low tuition remains an important point of differentiation in the marketplace. APUS undergraduate costs are 23% below the average published tuition and fee price paid by full-time in-state students at public four year institutions according to the College Board's Trends in College Pricing 2018. Affordable tuition is just the beginning of our commitment to provide valuable educational programs to working adults. Since 2002, APUS has awarded more than $134 million in textbook and course material grants to undergraduate students. Since 2010, APUS has awarded more than $2 million transfer credit hours to students who have graduated eventually representing approximately $500 million in applied value to our graduates. Undergraduates who apply for transfer credits receive an average of 44 credits towards a degree at APUS, an average of approximately $11,000 in savings to students who complete their degrees with us. These and other attributes has helped AMU to become a leader in serving military and veteran communities. We believe they are also necessary to serve public service professionals and strategic partners. In short, we believe affordable tuition and high academic quality provides differentiation and serves national interest by helping working adults succeed in their professions. These attributes, combined with efforts to expand strategic partnerships and address growing demand for healthcare education should help us to reach our institutional goals in support of our collective interest in advancing America’s workforce. At this time, I will turn the call over to our CFO, Rick Sunderland. Rick?
Richard Sunderland: Thank you, Wally. Going on to Slide 4. American Public Education’s second quarter 2018 consolidated revenue increased 1% to $72.8 million, compared to $72.2 million in the prior year period. The revenue increase was due to a $1.2 million or 15.4% revenue increase in our Hondros segment, which was partially offset by $0.6 million or 1% revenue decrease in our APEI segment. The Hondros segment revenue increase was primarily due to an increase in student enrollment, whereas, the APEI segment revenue decrease was primarily due to a decrease in APUS net course registrations. Cost of expenses for the three months ended June 30, 2018 were $64.8 million, a decrease of $1.1 million or 1.7%, compared to $65.9 million for the three months ended June 30, 2017. The decrease in cost and expenses was primarily due to decreases in instructional materials costs, employee compensation costs, and advertising cost in our APEI segment, partially offset by increases in professional fees and additional stock-based compensation expense related to certain employees reaching retirement eligibility in our APEI segment and increased employee compensation costs in our Hondros segment. Consolidated instructional costs and services expense as a percentage of revenue decreased to 39.8%, compared to 41.3% in the prior year period. Selling and promotional expense as a percentage of revenue decreased to 18.2% of revenue, from 19.4% in the prior year. General and administrative expense as a percentage of revenue increased to 24.2%, compared to 23.1% and bad debt expense for the three months ended June 30, 2018 was 1.2% of revenue, compared to 1.3% of revenue in the prior year period. Depreciation and amortization was $8.9 million for the six months ended June 30, 2018, compared to $9.5 million in the prior year period. Our effective tax rate during the second quarter of 2018 was approximately 26.2%, compared to 39.9% in the prior year. Our net income was $6.5 million or $0.39 per diluted share for the three months ended June 30, 2018, compared to net income of $3.8 million or $0.23 per diluted share in the prior year period. We exceeded our second quarter 2018 outlook for earnings per share, because of lower than expected employee compensation costs and bad debt expense. Cost savings from the previously announced voluntary reduction in force completed April 1st are tracking towards the top-end of the 2018 savings range. Total cash and cash equivalents as of June 30, 2018 were approximately $193.6 million, compared to $179.2 million as of December 31, 2017. Cash flow from operations for the six months ended June 30 was $19.6 million, representing a 20.3% improvement over the prior year period, due primarily to higher net income and lower estimated tax payments resulting from the 2017 Tax Act. Capital expenditures were approximately $3 million for the six months ended June 30, 2018, compared to $3.8 million in the prior year period. Going on to Slide 5, third quarter 2018 outlook. Our outlook for the third quarter of 2018 is as follows: APUS net course registrations by new students are expected to decrease between 13% and 8% year-over-year. Total net course registrations are expected to decrease between 6% and 2% year-over-year. For its summer term, which is the three months ending September 30, 2018, total student enrollment at Hondros increased approximately 11% year-over-year, while new student enrollments decreased by 3% year-over-year. The prior year period included a second ADN cohort start at our Toledo Campus. Absent this factor, new student enrollment at Hondros would have increased 5% year-over-year In the third quarter of 2018, we expect consolidated revenue to decrease between 3% and 0% year-over-year. Net income for the third quarter of 2018 is expected to be in the range of $0.28 to $0.33 per fully diluted share. Consolidated net income per share includes approximately $0.7 million or $700,000 in professional fees associated with an acquisition that the company is no longer pursuing. As Wally commented earlier, selling and promotional expense is expected to increase by approximately $1.3 million in the third quarter of 2018, compared to the second quarter of 2018. In closing, we are pleased with the second quarter results, the continued growth in total student enrollment at Hondros and our ongoing efforts to stabilize enrollments at APUS. Now we would like to take questions from the audience. Operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Corey Greendale of First Analysis. Your line is open.
Corey Greendale: Hey, good afternoon.
Wallace Boston: Hi, Corey.
Corey Greendale: So, a couple of clarifications. So, Rick, you said, Q2 includes $700,000 in cost associated with an acquisition. You decided not to pursue. Did I hear that right?
Richard Sunderland: Yes, that’s correct, Corey.
Corey Greendale: I am sorry, did you say that that is included in the EPS guidance or excluded?
Richard Sunderland: It’s included in the EPS guidance.
Corey Greendale: Okay. And I missed the first number given at the beginning of the script. What was new FSA students count in Q2?
Richard Sunderland: New FSA was down 13.4%.
Corey Greendale: 13.4%. Thank you. So, it sounds like, there was a temporary issue that's impacting Q3 with the Air Force. Is there any way of estimating kind of what the impact to that was and what you’d expect new students to be doing in Q3 if that work for that Air Force’s glitch?
Wallace Boston: We didn’t try to do that for this call, Corey. Typically, the Air Force is about 40% of our military TA enrollment. So, I mean, maybe we could get back to you. We don’t have that number, Rick do you?.
Richard Sunderland: No, well, it’s certainly impacted August registrations, right. So how many of those then come back and register in September, I can’t tell you. If there is going to be an offset and if there is what it’s going to be, but to Wally’s point, it is 40% of our total TA registrations.
Corey Greendale: Okay, and that is – it’s still ongoing or it was resolved now?
Wallace Boston: It was resolved on August 2. It was about two week periods that was down, Rick?
Richard Sunderland: Yes, it was just a little over two weeks.
Corey Greendale: Okay. And then, I had a question on pricing generally. So, maybe start with the Hondros side, I scanned into the Q and saw that Hondros is now offering institutional loan program, which - as opposed to just offering scholarships, which would seem more in keeping with kind of a philosophy of low cost. So just, why the decision to offer institutional loan program?
Richard Sunderland: I think, we tend to be overly conservative on compliance. So, we wanted to make sure that we dotted our i's and crossed our t's for people who might have temporary needs. And long-term, Corey, I think, we just have to see what the market is.
Corey Greendale: Okay. And in terms – Rick, in terms of the accounting for that, I don’t know, if there is a question about collectability, does that impact revenue per student at Hondros?
Richard Sunderland: We are not anticipating it’s going to, Corey. But obviously, we’ve got to build a record there looking at the payment experience. So we'll be watching that very closely.
Corey Greendale: Okay. And on the APUS side. Obviously, all the things you say are true in terms of the differentiation with the lower tuition point, but, obviously there is pretty wide gulf between where you are at and where a lot of – most of the market is and if you raise a little bit, that would give us more to invest in student services and sales of marketing and stuff. So, maybe just philosophically and I am sure this - I know that comes up repeatedly, but why not raise tuition prices somewhat in the civilian markets you have that excess to invest?
Wallace Boston: I would say, Corey, that we look at this not monthly, but couple of times a year. One of the reasons why we have not done much over time is that, we would still keep our tuition at the same rate for military or military affiliated, which includes veterans and spouses. When you put all those numbers together, there are 70%, 71% of our total student population. So, we continue to look at it. It’s a very good point. We are not oblivious to it. We just have to make sure that it’s worthwhile going through the initiatives.
Corey Greendale: Okay. Great. Thank you
Wallace Boston: Thanks, Corey.
Operator: Thank you. Our next question comes from the line of Peter Appert of Piper Jaffray. Your line is open.
Kevin Estok: Hey guys, this is Kevin Estok. I am in for Peter Appert.
Richard Sunderland: Hi, Kevin.
Kevin Estok: Just – hi, so, my first question has to do with corporate partnerships. I just wanted to know how you are developing those to drive enrollment growth and maybe if you could give a little color on the percentage of the total enrollments that currently come through that corporate channel and also, where that percent could go going forward will be helpful. Thank you.
Richard Sunderland: I think it’s about half of our current cash and other that comes through corporate partnerships. We are pretty optimistic that that area will continue to grow. It is – as I’ve said on this call before though, it’s really tough sliding, because there is – it’s very difficult to get a unique – to be the unique sole provider to any corporation. So, we try to focus on corporations where we are just one of two, three or four that we can get a substantial number of prospective students. So, but, currently it’s about half of that cash and other category.
Kevin Estok: Okay. All right, thank you. And my second question has to do with the margins. They’ve obviously improved quite a bit this quarter and which is very encouraging. And I guess, I was wondering what your views are on driving margin leverage going forward?
Richard Sunderland: I think, we always looking at ways at improving efficiencies and driving that leverage with the one exception being that, in the first quarter, we’ll have higher benefit cost for payroll. And then, in quarters like the third quarter, which is typically a seasonal dip in enrollment versus other quarters, we want to spend into the fourth quarter which is usually our best quarter from an enrollment perspective.
Wallace Boston: So I think, we are – as I said in my comments, it is really – it is tracking towards the high end of the range that we discussed earlier in the year. I think that’s having an effect on the current quarter, second quarter versus the prior year. The longer term trends have remained positive for both, we call it instructional materials, it’s really books, as well as bad debts. Although, our bad debts are getting to a point where it becomes a meaningful additional improvement.
Kevin Estok: Okay, great. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Alex Paris of Barrington Research. Your line is open.
Chris Howe: Hi, this is Chris Howe, sitting in for Alex Paris. Good afternoon.
Richard Sunderland: Hi, Chris.
Chris Howe: I just had a question, as we think about student persistence and student retention moving forward, some of the operational things that are going on behind the scenes and what type of successes are you seeing or different types of challenges that are presenting themselves either in this past quarter or moving forward?
Richard Sunderland: Well, the good news is that, while the new students using FSA are down, the returning student number is much, much lower decline, closer to even and what we are finding with the returning FSA students is, we are getting some signs and we are getting an improved lifetime value on those students. So, I think our strategy to really focus on students who were capable of completing college for our FSA student recruitment is paying off.
Wallace Boston: So, I think there is multiple levers here. So you’ve got conversion rates where you convert applications to students and then you’ve got student success metrics once they become a student. And so we’ve reported over many quarters at this point, the latter of the two which is the first course pass rate for first five FSA students I mean, non-FSA, no FSA students – excuse me. And so, we’ve made great strides there. The reengineering of the enrollment process which is multi-faceted and ongoing has resulted in improved conversion rates. So, the marketing function is identifying students that are on average, more college ready. The reengineering of the enrollment process is delivering higher conversion rates and the quality of the students that we are enrolling is delivering better student success. And so, it’s the combination of those two that’s driving in my opinion, driving the overall, I’ll say, getting to basically even on total net course registrations.
Chris Howe: Okay, that’s very helpful. Thank you. And, do you quantify this metric on an internal basis to see how retention is improving year-over-year? I don’t know, it’s even, I guess, just on a comparable basis, how did retention – how is retention moving versus the prior year and can we expect further improvement next year?
Wallace Boston: Retention continues to improve. It’s a complicated calculation and different institutions calculate it differently. But I would tell you that across the board, we are seeing improvements in retention, how we measure it. And I think, you can see the difference between the new student numbers in FSA and the returning student numbers in FSA as a specific category. And we didn’t provide numbers in other payer categories. But we use our own metrics in our data warehouse. We use a program from Civitas. We participate in our crediting body, the HLC’s Persistence Academy. So, we have multiple initiatives going on in which we analyze and implement processes to mentor, monitor and to recruit students who are going to persist.
Chris Howe: Okay, thank you for taking my questions.
Operator: Thank you and at this time, I am showing no further questions. I’d like to turn the conference back over to Mr. Chris Symanoskie for any closing remarks.
Chris Symanoskie: Thank you. That will conclude our call for today. Thank you for listening and for your interest in American Public Education. Have a great evening.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone have a great day.